Operator: Good morning or good afternoon all, and welcome to the Myers Industries 2021 Second Quarter Earnings Call. My name is Adam, and I will be your operator today. [Operator Instructions] I will now hand you over to Monica Vinay. Monica, please go ahead when you are ready.
Monica Vinay: Thank you. Good morning. Thank you for joining us. I am Monica Vinay, Vice President of Investor Relations and Treasurer at Myers Industries. Joining me today are Mike McGaugh, President and Chief Executive Officer; and Sonal Robinson, Executive Vice President and Chief Financial Officer. Earlier this morning, we issued a news release outlining the financial results for the second quarter of 2021. If you have not yet received cast on our website and will be archived along with the transcript of the call shortly after this event. Before I turn the call over to Mike, I would like to remind you that we may make some forward-looking statements during this call. These comments are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and involve risks, uncertainties and other factors which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties and other factors is set forth in the company's periodic SEC filings and may be found in the company's 10-K and 10-Q filings. I am now pleased to turn the call over to Mike McGaugh.
Mike McGaugh: Thank you, Monica. Good morning, everyone, and welcome to our second quarter 2021 earnings call. I am pleased to share that we had another quarter of strong sales growth and continue to make good progress in advancing our long-term vision. I would like to thank all of our Myers teammates for navigating what's proven to be an uncertain and the dynamic environment and for remaining laser-focused on meeting the needs of our customers, reliably delivering our products and living our values every day. The second quarter was defined by continued recovery across our key end markets and strong operational execution in a challenging environment. On top of that, earlier this week, we announced the acquisition of Trilogy Plastics, which marks our second acquisition in the last 9 months and another proof point in the execution of Horizon 1 of our long-term strategy. The acquisition of Trilogy continue to grow our rotational molding platform, and we have included a slide in the appendix of our slide deck today with more background for you. I will review Trilogy and provide some additional updates on our strategy in my closing remarks. But for now, please turn to Slide #3 for an overview of our second quarter results. Continued strong demand across our Material Handling and Distribution segments drove a 58% year-over-year growth in sales, and we delivered a second consecutive quarter of year-over-year revenue growth in excess of 20% on an organic basis, with all end markets supplying solid growth. Demand from our customers is strong and looks to continue. We have the leading market share of high-quality, well-regarded products, and we have seen that the demand for these products is durable and lasting, even in a pandemic. I am pleased with our niche market focus and approach. It provides us a solid foundation on which to build and grow Myers. Despite our exciting long-term vision, however, we have had some short-term headwinds, increasing raw material prices and other inflationary pressures continued throughout this quarter. And in some cases, were more than we anticipated. While we expect them to be temporary in nature, the short-term raw material issues around supply and cost escalations have been unprecedented. We have taken swift action, announcing and implementing price increases in March and April and again in July. Unfortunately, our finished good prices were not able to keep up with the pace of cost increases, and we experienced margin compression during the quarter. As we have said before, we are committed to restoring and expanding our margins across the enterprise. This is one of the key objectives of the self-help component of Horizon 1. Like many companies, we are also seeing tightness in the labor market. And while we are working to mitigate the impact, labor cost increases and scarcity have been a headwind in 2021 that will likely persist in the near-term. Over the coming months, we remain diligent in monitoring and adjusting our actions to mitigate the impact of inflation. We are working to ensure we strike a fair, long-term mindset with our customers, doing our best to ensure they have supply, while ensuring our products are priced appropriately for the value they provide. Our self-help efforts are delivering results, and were headed in the right direction strategically and operationally. We are transforming Myers and are successfully executing against our long-term vision and strategy. I would now like to turn the call over to Sonal Robinson, our Chief Financial Officer, to provide details on our financial results and guidance. Sonal?
Sonal Robinson: Thank you, Mike, and good morning, everyone. Let us begin with a review of our second quarter financial results on Slide 4. Net sales were up $69 million, an increase of 58%. Excluding the impact of the Elkhart acquisition, organic net sales increased 26% due primarily to higher volume mix. Favorable price contributed 5% and FX 1%. Sales increased in both our Material Handling and Distribution segments in all key end markets. Adjusted gross profit was up $12.5 million, while gross margin decreased from 36% in the prior year to 29.4% in the quarter. Margin was negatively impacted by higher raw material costs, primarily resin, which continued to increase sequentially during the quarter. These costs were not fully offset by higher prices, which led to an unfavorable price to cost relationship. Adjusted operating income increased $2.80 million to $15.1 million. The increase in gross profit was mostly offset by higher SG&A expenses, driven by the addition of Elkhart, higher salaries and incentive compensation costs and higher legal fees. Adjusted EBITDA was $20.5 million, an increase of $2.4 million compared to the prior year, and adjusted EBITDA margin was 10.9%. And lastly, adjusted EPS was $0.29, an increase of $0.06 or 26% compared to the prior year. Turning now to Slide 5 for an overview of segment performance. Beginning with material handling, net sales increased $56 million or 70%, including the Elkhart acquisition. On an organic basis, material handling net sales increased 24% due to strong volume mix. We gained an additional 6% due to favorable price and 2% in FX. Material handling adjusted operating income increased approximately 8% to $17 million, driven by higher volume mix and the addition of Elkhart, which were partially offset by an unfavorable price to cost relationship due to escalating raw material costs and higher SG&A expenses. The increase in SG&A expenses was primarily due to the addition of Elkhart, higher salaries and incentive compensation costs, increased travel cost and legal fees. In the Distribution segment, sales increased $12.6 million or 34%, driven by both equipment and consumable sales. Distribution's adjusted operating income more than doubled from the prior year to $4.2 million. The growth was driven by higher volume mix that was partially offset by higher incentive compensation costs. Turning to Slide 6. Free cash flow was $11.7 million in the quarter, an increase of $8.1 million over the prior year, driven by higher cash from comps. On a year-to-date basis, free cash flow was $13.1 million. Cash on hand at quarter end was $13.5 million. Our balance sheet remains strong. At the end of the second quarter, leverage was 1x. Our capital structure continues to provide the flexibility needed to execute our growth strategy. And on July 30, we utilized our revolving credit facility to finance the Trilogy acquisition. Turning to Slide 7. Before providing an update on guidance, let me take a moment to discuss the ongoing macroeconomic environment. As Mike mentioned, and similar to many other industrial manufacturers, we are facing what we believe are temporary disruptions in the supply chain, which have led to unprecedented increases in raw material costs this year. We have continued to take pricing actions to mitigate these significant increases. But due to a lag in price realization, we have not been able to keep up with the pace of cost increases. As a result, we expect to remain in an unfavorable price to cost position for the third quarter. We believe many factors, including additional supplier capacity should result in resin costs moderating and potentially easing as we continue through the year. As such, we expect our price to cost relationship to turn favorable in the fourth quarter. Let me now provide an update on our outlook for fiscal 2021, which includes expected results of the Trilogy acquisition completed on July 30. Reported net sales are anticipated to increase in the mid-40% range. Our previous sales guidance was in the high 30% range. Note that a little more than half of the expected increase over the prior year is due to the impact of both the Elkhart and Trilogy acquisitions. Elkhart's annual net sales at the time of acquisition were approximately $100 million. And Trilogy's annual net sales are roughly $35 million. We are reaffirming our 2021 outlook for adjusted EPS of $0.90 to $1.05 per share. Our guidance reflects a weighted average share count of 36.5 million shares. And also note that Trilogy is expected to be slightly accretive to EPS in the current fiscal year. Other key modeling assumptions include depreciation and amortization expenses of approximately $23 million and CapEx of approximately $15 million to $18 million. CapEx is expected to trend higher than past years with our renewed focus on investing in our facilities and improving our capacity, along with the addition of Elkhart and Trilogy. Interest expense is forecasted to be between 4 and $4.5 million, and the effective tax rate is forecasted to be 26%. In closing, while the short term is being pressured by significant inflationary headwinds, our long-term fundamentals are intact. We continue to manage cost increases through pricing actions, while balancing the potential impact on volume. Our teams are working extremely hard in this dynamic environment, and we appreciate all of their efforts. Before turning it back over to Mike, I would like to extend a warm welcome to the Trilogy team. Mike, I will now turn it back over to you to provide an update on our strategy.
Mike McGaugh: Thank you, Sonal. I appreciate it. Now please turn to Slide 8. I introduced our long-term road map in October of last year. In a short period of time, we have made meaningful progress against the current phase of this road map Horizon 1 and our transformation of Myers is well underway. We have a shareholder focused, value-creating vision for our company. I believe we have the right team in place with the right strategic plan and the right focus on execution to make it a reality. We are off to a strong start, and we continue to execute against our goal of transforming our Material Handling segment into a high-growth business that's a true innovator of engineered plastic solutions, while we also continue to grow and optimize our Distribution segment. Horizon 1 of our strategy is rooted in the execution of 3 areas: #1, self-help initiatives, which includes improvements in purchasing, value-based pricing and SG&A optimization. #2, organic growth fueled by sales and commercial excellence, and one important component of which is to build out our e-commerce channel. And #3, bolt-on M&A to build out our existing businesses. Continued execution across these 3 elements will propel us into Horizon 2, where we plan to use our cash flow and knowledge gained from Horizon 1 to pursue enterprise level M&A in North America. The focus on Horizon 3 will be to pursue enterprise level M&A on a global scale. This vision and roadmap is supported by our 4 strategic pillars outlined in Slide 9. Because I have described each pillar in detail on previous calls, I will move to Slide 10 and give an update on the recent progress we have made with respect to each. On the organic growth front, we continue to make headway in implementing our improved commercial structure that standardizes and strengthens our focus in sales, marketing and product management. We are installing a world-class commercial organization at Myers. And while this will take some time, we are moving the needle with new additions and new training. Examples of our areas of focus include improving our capability and processes and account planning and account management and demand planning and in optimizing how we run our supply chain and planning processes. Additionally, through critical investments in talent and infrastructure, including the summit we held last quarter, we have fortified a stand-alone e-commerce organization, and we are seeing good traction with that group. On Pillar 2, as it relates to M&A, we are very pleased to have closed our second bolt-on acquisition to supplement our plastics business. Trilogy Plastics is well aligned with our strategic objectives and culture and has an exemplary track record of providing high-quality products to its customers with superior service and on-time delivery. We are targeting approximately $1 million of annual cost synergies, which we expect to realize by the end of 2022. Most of this will be through supply chain cost reductions. This is on top of the $4 million to $6 million of cost synergies we expect from Elkhart. In addition to these cost synergies, we are seeing growth opportunities and synergies with Elkhart, and we expect the same from Trilogy. As expected, and as part of our Horizon 1 approach, as we pursue more acquisitions our organization is learning. We are fine-tuning our playbook and our capabilities to identify and complete deals as well as to integrate and obtain synergies. This plan and approach are working. We are gaining capability and speed as we move forward. Trilogy was an important step in our journey, and we continue to seek opportunities to acquire complementary businesses, and we currently have numerous actionable targets in our pipeline. Moving on to operational excellence. This pillar has been integral to our growth over recent quarters. In the midst of global supply chain issues, our newly centralized procurement team has done a good job sourcing the necessary raw materials to meet most of our customers' needs. The last several months have been a challenge on raw material cost and availability. Jeff Baker and his team in procurement and supply chain have done a nice job on both issues. Over the past months, we positioned Myers as a value-added solutions provider. We have made thoughtful decisions on price and supply to ensure we create long-term goodwill and value for our customers as well as all of our stakeholders. As you may have seen, Myers recently unveiled its new brand identity logo website. We consider this new visual identity to be much more than aesthetic change, but rather strategic choice to reflect our One Myers vision and reinforce our key values of integrity, optimism, customer focus and a can-do attitude. We are changing signs, business cards, the website, name badges, all to a single one team mindset. We are no longer a collection of smaller brands, we are coming together as one company. We have more critical mass, more capability to serve our customers and our employees. It is exciting. It's working. With that, I will turn to our fourth pillar, which is our high-performance culture. In order to execute and achieve breakthrough performance, we need to have a high performing culture. To that end, we recently launched our new Learning Management System, which is comprised of live and online classes to help drive growth, improvement and continuity in our employee base. We see that this -- we see that LMS will help us win the war on talent. Our employees see that we are investing in them, in their careers and in their development. We want our employees to grow here at Myers. We are creating a culture of employee success within the company. This includes the type of training and employee development programs in career and succession planning typically found at larger world class companies. We seek to replicate that here. Our people are and will be a key competitive advantage. I would like to close today by thanking the Myers team again for their hard work. We are serving our customers in this very fast-paced economic environment, while managing quality and service. Our long-term strategy is gaining considerable momentum. It is producing tangible results that we believe will create significant long-term value for our customers, our employees, our communities and our shareholders. And with that, we will now open the line for questions. Operator?
Operator: [Operator Instructions] Our first question today is Steve Barger from KeyBanc.
Steve Barger: You have been aggressive on price. You are still behind on price costs. The first question is, have the price increases had any impact on demand? Or can you just talk about end market dynamics as you see them?
Mike McGaugh: Yes. Steve, at this point, no. At this point, no, there's an acceptance in the market-based upon the inflation you are seeing in all raw materials. We still feel we have got good success in implementing the recently announced July and August increases. We are not seeing demand tail off in a market way. There are certain -- there may be certain submarkets where you may have some positives. But generally speaking, no, we are not seeing it impact demand at this point.
Steve Barger: And you said you expect the supply chain disruptions are temporary. What's the thought process there? Or what are you hearing from suppliers and any way to handicap when those prices might start to roll off?
Mike McGaugh: Yes. So a lot of it is on the polyethylene, polypropylene side, but also steel, to a lesser degree. The polyethylene side and polypropylene side, a number of those factors came into play. We had COVID and the pandemic, which pushed out maintenance turnarounds. When those maintenance turnarounds were to be done, we had to freeze the spring, which threw out over 20 force majeures. That was a unique circumstances of events that since has pushed out more maintenance turnarounds into the second and third quarter. We think that it will ultimately stabilize and revert over the course of the next month. But we don't have a crystal ball. It's tough to read that one. So Sonal's information, we expect price to cost to gain ground in fourth quarter favorably is accurate.
Steve Barger: What percentage of the product line has contracts where you can't push price right now until contract renewal?
Mike McGaugh: Yes, at this point, we have not disclosed that in the past. And so I would prefer not to disclose that at this time, Steve.
Steve Barger: Okay. Well, do you have any product lines right now that are breakeven or unprofitable? Or is everything still contributing?
Mike McGaugh: At this point, I don't want to go into the specifics. I would say there's significant demand. That's the positive. The short-term disruptions from a price standpoint on polyethylene, polypropylene have been significant. We are addressing that with the price increases. The vast majority of our product lines continue to contribute. However, we need to get that more healthy. I mean, you can see that in our EBITDA second quarter versus second quarter. We need to mean revert, Steve.
Steve Barger: Yes, I understand. It's an unusual situation. And last question for me, and this is -- I know it's a tough one. But first half over first half sales are up more than $120 million, but operating income is up $3 million. And I know that a huge driver of that is the input cost inflation that you are talking about. But what did you expect to see? Or what should be the normalized operating leverage from a combination of organic growth and acquisitions?
Mike McGaugh: Yes. Sonal, do you like to take that?
Sonal Robinson: Sure, Steve. So Steve, I would start with what you saw in terms of our gross margin compression in this quarter. So we were down 660 basis points. As you think about our commentary around being unfavorable from a price to cost relationship, about 2/3 of that was due to this relationship of the compression. So as you look out when some of this starts to turn, we would expect to regain much of this margin compression that we have seen.
Mike McGaugh: Yes. Yes. That's right. That's right. And there's incremental on labor, labor shortages, labor scarcity, I think the labor scarcity is going to be a headwind for the next quarters. That's hitting everyone. You're covering it on premium labor expense, but also as a lot of the supplemental unemployment insurance falls off. Barring a curveball from COVID, we expect a good bit of that to be remedied. We are also taking proactive actions on staffing solution, employee development, employee investment, employee training, and I feel confident that we are closing that gap, Steve, but the labor scarcity and labor cost has also been a headwind.
Operator: Our next question is from [Jonathan Natera] from Cowen.
Unidentified Analyst: This is Jonathan on for Lance. Congratulations on the quarter. My first question is with material handling increasing 32% organically, can one also assume that organic sales volumes increase? Or was it just a function of increase in price?
Sonal Robinson: No. Jonathan, this is Sonal. So yes, of that 32%, approximately 24% of that was volume mix. And so that was driven by good solid growth there on that side, 6% then from pricing and then about 2% from FX.
Unidentified Analyst: Okay. Got it. Now I know that you guys have raised prices in 3 months this year. And you are still not able to catch up the cost. Eventually, I am sure you will. Once you guys do reach that point where prices do catch up, do you see that as a potential. One, do you think prices are -- remain sticky? And 2, do you see them as a potential tailwind for if it's in Q4 and then the remainder of '22? Or how do you guys view that?
Mike McGaugh: Yes, Jonathan, this is Mike. So it kind of goes back to some of my comments. We make high quality, highly reliable products that we continue to invest in. And based on that, we believe that we can price our products to the value they create for our customers. And I mentioned we want to approach this in a -- with a long-term mindset in a fair way with our customers. On the same token, we want to price the value and not price opposite cost. Those are one of the initiatives I have talked about in the past. That's one of the initiatives we have at Myers. It's underway. It's focused on value-based pricing. I don't know if that answers your question. I can give more specific there, I could try to.
Unidentified Analyst: No, it's helpful. My last question, I noted that financial leases have become a portion of the balance sheet. And I am wondering, is this something that will remain like the status quo going forward? Or were the leases of opportunities that came up and you have decided to take those?
Sonal Robinson: Yes, Jonathan. No, it's really not a structural change in how we think about our capital structure and how we will proceed going forward. It really was an opportunity as we took a look at the project fund plan that we had announced and the opportunity to essentially sell it and lease it back as we went through that process.
Operator: [Operator Instructions] We have a follow-up from Steve Barger.
Steve Barger: Mike, in the past, you've said that Myers is one of the only companies that can bring the 4 plastic molding technologies to market. Can you talk about how that's translated into new product wins in the marketplace? Or how customers have responded to those broader capabilities?
Mike McGaugh: Yes, it's early days, Steve, but we're seeing proof points, we're seeing that playout. We have done cross training. And I can't remember what I have mentioned on prior calls or not. For example, we had our rotational molding sales and technical growth in our blow molding plants because there's the most overlap there and vice versa so that they understand what our capabilities are as a company, what does a good order look like in terms of price, volume, run rate, et cetera, on the blow molding and the roto molding side, we are seeing most of the cross-selling occurring there. Specific -- what's the revenue from that? At this point, single-digit millions of dollars. That's one of the hypothesis of our approach on the 4 plastic molding technologies. It's bearing out. It's playing out. What's interesting, however, we have a new leader leading the distribution platform. And that -- the results of that business are pleasing to me and to the team. We are also seeing some initial cross-selling opportunities even in distribution of the plastic products we make, as an example, the Conbon Bin that are in Akro mills. Some of the storage containers that are made over in Buckhorn. Just raising the awareness of that 130 sales person sales team about the products we make and how they could move them even though those segments previously, Steve, have been bifurcated. So that we are seeing more volume on the One Myers approach. Quite frankly, I would like to also we seeing more price, but we are getting there. We are getting there. We are selling a lot of -- we are moving a lot through our P&L. We just need to see the pricing hit in a more pronounced way. And so that we actually hold back more that's on the bottom line.
Steve Barger: On the last call, you said the sales training was a 30-day process, I think, and it was about 1/3 done. So assuming that's now complete, is -- well, I guess that's the question. Is that complete through the organization on both sides?
Mike McGaugh: Yes. And maybe I misspoke before, it's more almost like a 90-day process, Steve. We have the waves that are going through. The distribution team, we are training the management, but not all 150. But of the other 60 or 70 sales people we have on the material handling side, I believe it's largely done or very soon will be. And that's part of why we are seeing a lot of success. Our salespeople are even more focused on customer needs, customer need identification, creating value for our customers, and we are seeing that drive some of the volume in addition to the recovery of the end markets. Now, quite frankly, our focus is making sure we get all the volume out of our assets. We are running our assets pretty hard with not enough bodies to fill the roles. I mean, we have got 20%, 30% more volume and you may be down 10% or 15% bodies to run those plants. And so we have mandatory overtime as an example. We will work -- our people are working really hard to keep up with demand. It's -- that's been a headwind. It's the labor scarcity. That's probably been one of the limiters.
Steve Barger: Is there any way to mitigate that? Is it a function of -- as you think longer term, do you need to move the location of some of these facilities to a more populated area? Or how do you think -- or is it an automation play? What do you do?
Mike McGaugh: Yes. It's an automation play. That's a little bit longer-term answer. We have some automation consultants at each of our facilities that are helping us identify opportunities. And a lot of them are not huge capital expenses, but more in the incremental. So that's in play. Also, we have got a number of pilots, some of which are really bearing fruit on either tapping seasonal or migrate workforces that can come up and contribute immediately. In that instance, there's a bit of a language barrier you got to work through, but I'll tell, Steve, it's something -- an innovative solution some of our HR leaders have come up with that we're really early success. And quite frankly in my past life in the framing business and construction business that was a very common practice to bring up H2B visa workers. And we're looking at how we replicate that here. It's bearing fruit that's why I said it I think that gap is going to continue to close as the unemployment supplement falls off and as we implement some of these creative solutions on additional staffing. Also at the same token the employee development and the LMS system. And then quite frankly we're going to -- we've had to raise our hourly rates. So that's 1 of the other issues, but I believe it's under control and I believe we're performing well in that space, but look first half of this year and for the near-term it will be a headwind labor availability and then using that labor to run our plants.
Steve Barger: Yes. Last one for me, I know it's small but any update on e-commerce? I know that has -- it's an exciting new channel that could grow.
Mike McGaugh: It's very exciting. We have got a good team. I am really pleased with the folks that Chad Collins has been able to put in place. They are very talented. We use it as a flywheel. The margins in some -- for some customers and channels are actually very good, some not as good. And at this point, right now, our plants are running so hard. We have actually had to throttle it a little bit because we can't get the volume out of the door. That's a good problem to have, but that e-commerce channel is really bearing fruit. And I think it's going to be a secret to our success in the future.
Operator: [Operator Instructions] As we have no further questions, I will hand back to the management team for any closing remarks.
Monica Vinay: Thank you. Thanks everyone for your time and participation today. We appreciate your interest in Myers Industries. Have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.